Operator: Welcome to the Community Healthcare Trust 2020 First Quarter Earnings Release Conference Call. On the call today, the company will discuss its 2020 first quarter financial results and will also discuss progress made in various aspects of its business. Following the remarks, the phone lines will be opened for a question-and-answer session. The company’s earnings release was distributed last evening and has also been posted on its website www.chct.reit.The company wants to emphasize that some of the information that may be discussed on this call will be based on the information as of today, May 6, 2020, and may contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties and you should review the company’s disclosures regarding forward-looking statements and its earnings release as well as its risk factors and MD&A in its SEC filings. The company undertakes no obligation to update forward-looking statements, whether as a result of new information, future developments or otherwise, except as may be required by law.During this call, the company will discuss GAAP and non-GAAP financial measures. Reconciliation between the two is available in its earnings release, which is posted on its website. Call participants are advised that this conference call is being recorded for playback purposes. An archive of this call will be made available on the company’s Investor Relations website for approximately 30 days and is property of the company. This call may not be recorded or otherwise reproduced or distributed without the company’s prior written information.I would now like to turn the call over to Timothy Wallace, Chairman, Chief Executive Officer and President of Community Healthcare Trust Incorporated. Please go ahead.
Timothy Wallace: Thank you, Ian. Good morning, everyone, and thank you for joining us today for our 2020 first quarter conference call. On the call with me today is David Dupuy, our Chief Financial Officer; Page Barnes, our Chief Operating Officer; and Leigh Stach, our Chief Accounting Officer.As is our normal process, our earnings announcement and supplemental data report were released last night and filed with an 8-K and our quarterly report on Form 10-Q was also filed last night. Once again, as usual, we were busy during the first quarter, and most of it was business as usual. However, I guess I should start with the topic of the quarter, COVID-19.As you all know, many health care providers have been impacted by the COVID-19 pandemic. Some of them are not seeing patients, others have seen a reduced number of elected procedures and/or patient visits while others have experienced limited impact or have even seen improved cash flows either increases in census or from government funding.As of April 30, the company has entered into deferral agreements with approximately seven tenants, representing approximately 0.25% of annualized rent. In addition, the company is currently negotiating deferral agreements with approximately 30 tenants representing 2.34% of our annualized rent. Notably, three of these tenants had after requesting a deferral, have called back and said it was not necessary because they had received their PPP funding.Based upon need and request, the company has been generally providing these tenants with two to three months of base rent deferral, the tenants do continue to pay operating expenses. Pursuant to these agreements, the tenants are generally required to repay the deferred amounts with funds received from business interruption insurance or the payroll protection program, with any remaining balance paid in equal monthly installments during the third and fourth quarters of 2020.As I understand it, other REITs have been disclosing a percentage of April rents collected. We have not historically measured that metric, but what I will tell you is that our receivables are in better shape than almost any other time in the company’s history. At this point, I would like to call out the great job that our asset management group has done related to COVID 19. In the week after the Cares Act was passed, they were busy sending out e-mails to all of our tenants providing directions and instructions on how to access the different programs. Then when we heard that some tenants were having problems utilizing their banks to access the PPP program, we pulled some of our banking relationships into the process and were able to cumulatively get them close to $5 million of funding. If you are able to do that for people, they tend to pay their rent.Now on to more normal items. As you know, we have an active ATM program in place. During the first quarter, the company issued 610,786 shares of stock through its ATM program. We did that at an average gross sales price of almost $45 per share. We received net proceeds of approximately $26.9 million at an approximate 3.79% current equity yield.During the first quarter, we acquired six properties with a total of approximately 122,000 square feet for a purchase price of approximately $37 million. These properties were approximately 98.2% leased with leases running through 2035 and anticipated annual returns of 9.1% to 11%. So far in the first quarter, we have acquired one property with a total of approximately 10,000 square feet for a purchase price of approximately $3.9 million with a commitment to provide $1.5 million of tenant improvements.That property is 100% leased with the lease running through 2035 and an anticipated annual return of approximately 9.5%. The company has four properties under definitive purchase agreements for an aggregate expected purchase price of approximately $9.9 million and expected aggregate returns from approximately 9.05% to 9.24%. The company is currently performing due diligence and expects to close these properties in the second quarter. We also have three additional properties under definitive purchase and sale agreements to be acquired after completion and occupancy for an aggregate expected investment of $68 million. The expected return on these investments should range from approximately 9.5% to 11%.We expect to close on these properties through the middle of 2021. We continue to have many properties under review and have signed term sheets on several properties with anticipated returns of 9% to 10%. We anticipate having enough availability on our revolver to fund our acquisitions. And we expect to continue to opportunistically utilize the ATM to strategically access the equity markets.Occupancy was down slightly during the first quarter, leasing activity was somewhat muted during the first quarter due to the challenges caused by COVID-19. Through a combination of new and extended leases and our acquisitions, we have been able to increase our weighted average remaining lease term to approximately 7.9 years. On another front, as we announced the other day, we declared our dividend for the fourth – first quarter and raised it to $0.42 per common share. This equates to an annualized dividend of $1.68 per share, and I continue to be proud to say we have raised our dividend every quarter since our IPO.As it relates to Highland Hospital, the filing of the prepackaged bankruptcy occurred on March 29, the anticipated sale to the new operator is expected to occur at the end of the second quarter or first of the third quarter, as previously disclosed. The company is providing financing to facilitate the process. Obviously, there are various contingencies that might still occur such that the outcome would be different than what we think now, but we believe we have addressed the situation as best we can. I believe that takes care of the items I wanted to cover, so I will hand things off to Dave to cover the numbers.
Dave Dupuy: Great. Thanks, Tim. I’m pleased to review CHCT’s financial performance for the first quarter. We continue to experience positive growth in our business, with revenue growing from $16.8 million in the fourth quarter 2019 to $17.9 million in the first quarter, representing 6.6% sequential growth.Revenue for the same period in 2019 was $13.4 million, representing 33.4% growth over last year. Many of our acquisitions closed late in the quarter, so we did not see the full impact in our first quarter results. However, giving pro forma effect to these acquisitions as though they closed, on day one of the quarter, total revenue would have increased by over $838,000, resulting in total revenue of approximately $18.8 million for the first quarter.From an expense perspective, property operating expenses increased quarter-over-quarter from $2,840,000 to $3,343,000 and or 17.7%. This was driven by: one, new property acquisitions; two, property taxes, three, seasonal increases, including snow removal at a handful of properties and also normal fluctuations in property expenses experienced quarter-to-quarter.G&A increased slightly by $66,000 and that was driven primarily by an increase in compensation and professional fees. As it relates to G&A, we occasionally get questions about the mix between cash and non-cash G&A expense. Therefore, we’ve included a new section at the bottom of Page 7 in the supplemental materials, which breaks out cash and non-cash G&A, this quarter and in previous quarters. Feel free to reach out to me should you have any questions. Interest expense declined $264,000 from $2,513,000 in the fourth quarter to $2,249,000 in the first quarter. This decrease related to the net proceeds raised through our ATM program as well as the back-end loaded nature of our acquisitions in the quarter.Our net income increased from $2,213,000 in the fourth quarter to $4,100,000 in the first quarter. However, when you adjust for the onetime non-cash income tax expense, of $1,421,000 in the fourth quarter, net income was then $3,634,000, resulting in an adjusted sequential increase of approximately 12.8%.Finally, I’m pleased to report that funds from operations for the first quarter of 2020 grew to $10.2 million or $0.48 per diluted share from $9.5 million or $0.47 per diluted share in the fourth quarter or 7.7%, sequentially. Adjusted funds from operations, AFFO, which adjusts for straight-line rents and stock-based compensation totalled $10.4 million or $0.49 per diluted share compared with fourth quarter 2019 of $9.9 million or $0.49 per diluted share.And importantly, from a pro forma perspective, if all of the first quarter acquisitions occurred on the first day of the first quarter, AFFO would have increased by approximately $470,000 to a pro forma total of $10.8 million, which would increase AFFO to $0.51 per share. That’s all I have from a numbers perspective.Ian, I think we are ready to start the question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Nate Crossett of Berenberg. Nate please proceed.
Nate Crossett: I appreciate the color on the COVID impact. Just wanted to get a sense of the 30 tenants or the 2.3% of ABR that are negotiating deferral, are you guys expecting these negotiations to kind of cap out at this level? Or could that number go up in May?
Timothy Wallace: It’s hard to say. And I mean I’ve told everybody, we don’t know what to learn from this yet. But basically, in our discussions with our tenants, the latest that they’re looking at opening back up is June, and several of them are looking and opening up in May. So I would hope that this is the peak of that. And as I mentioned in the script, to begin with, we’ve had some that have already called and said they don’t need it because they’ve got their PPP funding. So our hope is this is the peak of it, but we’ll have to wait and see what may brings.And the one thing I will say, and I find this kind of universal in talking with people, the rest of the country is having a totally different experience on this than what New York City, New Jersey, Connecticut, Boston area is. And it’s not mirror the issue that it is. The biggest issue we have are the stay in home and shut down orders being lifted so that people can get back to work.
Nate Crossett: Okay. That’s helpful. Maybe just on the acquisition pipeline outside of what you’ve already announced. What does the deal flow look like? I think you mentioned that you signed a few term sheets. What kind of the dollar value on, though and then could you give us an update on the timing of the three properties that are going to close through 2021?
Timothy Wallace: I kind of hate to. I mean I think one will close – I think one will close in the fourth quarter of this year. There might be two that closes in the fourth quarter, but probably one in the fourth quarter this year, one in the first quarter, one in the second quarter, if I had to guess. Some of that has been slowed down because the different state home orders in some states construction is an essential activity. So it’s been able to continue. In other states, it’s not an initial activity. So they’ve had had to cut it off for the last four weeks or six weeks or something.As it relates to the deal flow, I mean, I’m trying to think – I mean this week, I’ve sent out we’ve sent out term sheets on probably four properties that total $14 million to $16 million. So I mean, we’re still seeing good deal flow and don’t think that COVID-19 is going to really slow that down.
Operator: Our next question comes from Alexander Goldfarb of Piper Sandler. Alexander please proceed.
Alexander Goldfarb: Okay. So just two questions. First, Tim, the percent of tenants who are in deferral discussions is incredibly low compared to what we’ve heard from others ranging from office. I want to mention retail but office, industrial, et cetera. So you didn’t provide a percent of rents collected. So I don’t know if you’re going to – if you’re waiting for the Q&A to disclose that. But can you just talk a bit more about why it’s less than 3% of your tenants are in deferral discussions, do you anticipate more? Or is it just that literally rents is such a small part of these tenants. And for the most part, their businesses weren’t sufficiently affected for them to even consider asking for deferral. Just want a little bit more color.
Timothy Wallace: I tried to answer some of that previously, but I will say this. I think this is one place where again, our diversification strategy comes into play because if you look at the bigger parts of our portfolio from a singular standpoint, we’ve got a good chunk of behavioral health and if anything, COVID-19 has increased the demand for behavioral health concerns. We’ve got a big chunk of inpatient rehab that has done well through this process. We’ve got dialysis centers and cancer centers that. If you need green dialysis, it doesn’t matter if there’s a COVID pandemic going on or not, you get renal dialysis three days a week or you die.So I mean if you look at how we’ve structured the portfolio overall, it’s – again, that diversification is coming through. And then if you layer on top of that, the effective work that our asset management group did and working with our tenants getting them focused on getting PPP and other parts of the Cares Act programs and getting those done, then a substantial amount of that is going to pay us.And then where we’ve seen the biggest impact is it really in small uses, small space usage, such as dermatologists, ophthalmologists, dense, those types of things, and they represent a very small part of the overall portfolio. So but when you look at what we’ve got and how we’ve gone it diversified, again, I think the biggest thing is the diversification and the next thing is our active participation with our tenants and in promoting and accessing the government programs.Let me take this, too. The geographic diversification has a big benefit, too, because if you look at where this disease has had its biggest impact, it’s been in densely populated areas. And we’re generally in suburban non-urban core areas. So again, that part of the diversification strategy has worked our benefit in this also.
Alexander Goldfarb: Okay. And then as far as your tenant and you spoke to the prior question about reopening in June, and hopefully, everything goes well. But for your tenants who are sort of elective procedures or – and have shut down, do you expect all of those to reopen? Or is this like – or do we think of this like retail where there’s some mom-and-pop to – they shut down, they won’t be able to reopen. Like basically, do you expect your entire portfolio to reopen or do you have some tenants where you’re like, you don’t think that they’ll survive if they’re closed for many – for a few more months?
Timothy Wallace: Well, I’ll address two parts of that. Number one, we do not currently have the anticipation that any of our tenants are going to go totally out of business. And so I’ll address that. The second thing is again, you need to understand places are opening back up again. I mean today, I’ve got a dentist appointment at 11:00, and I get a haircut at noon. So things outside of New York City and that metropolitan area are already opening back up.
Alexander Goldfarb: Hopefully, Tim, hopefully, those are two different appointments.
Timothy Wallace: They are. One-on-one side and one on the other.
Alexander Goldfarb: Okay. okay, listen. Thank you.
Operator: Our next question comes from Bryan Maher of B. Riley FBR. Bryan, please proceed.
Bryan Maher: Yes, good morning. A pretty excellent quarter, I must say. When we think about your expectations for acquisitions over the balance of the year, putting aside a number for the moment, is there anything that you’re seeing out there in product type or maybe in the way of potentially distressed sellers that’s starting to come up on your radar screen?
Timothy Wallace: No. I mean we’re not really looking for distressed sellers. And we don’t really think that’s going to be a significant issue. I mean what we think is going to happen. I mean that will come out of this is, I think there’ll be some different views on life, let’s just call it, the doctors and PE firms and others take on this because we had our Board meeting on Monday, and it was a topic of discussion because several of our Board members are on different ports. Is that PE firms have always looked at the doctors owning their real estate, it’s been a good thing because it tied them into it. But then when you have to discuss whether or not you can pay the doctors their rent, if you’re the PE firm running a consolidator, it gets to be a tough discussion.And if you’re on the doctor side of it, looking at it and saying, well, can I get paid my rent? Am I smart to have this – all of my assets in one basket, so to speak, or should I liquefy this part of my overall assets and put somewhere else. So we think that over time, those are going to be discussions that come into play that play into our hand as to what we do and how we do it. But I don’t think it’s something that’s going to happen overnight. And quite frankly, if somebody comes to us and it’s a distressed property, we’re probably not going to be interested in, in any way.
Bryan Maher: Right. I meant more from the standpoint of the owner of the property has become distressed for some reason and just look into sell a property to raise capital maybe for other reasons.
Timothy Wallace: Well, I was addressing it can on from most of what we buy, we end up buying from doctors. And so I mean, we haven’t seen that, and I don’t necessarily think that we will in that context. So I think we’ll see it more in the context of the doctors looking at it and saying, okay, how concentrated did my assets be? And should I not diversify them better than what I’ve got them diversified right now.
Bryan Maher: Got it. And kind of moving on a little bit. And I know this is probably still really early innings, but has there been any shift in cap rates with what’s been happening with interest rates over the past month or two and with the expectation of, a lot of people just are staying away from real estate at any time right now, which might move cap rates higher to your bet. Are you seeing anything in that regard?
Timothy Wallace: I think it’s still probably a little bit early for that to come out. We’re not anticipating significant moves. I told people, we might anticipate being able to push cap rates up 25 bps or 50 bps on something, but I don’t think it’s going to be an overwhelming move for the types of properties that we have and the way that we approach it.
Bryan Maher: And then lastly for me, I think you had maybe 40 or so leases to expire in 2020. Has the COVID-19 pandemic changed your view at all, on your ability to re-lease those properties? Or what you might want to charge for those properties? Has it changed your view in any way as it relates to how you look at the balance of this year?
Timothy Wallace: Not really as it relates to the releasing, most of the spaces, if the doctors are in the space, they are releasing. And because the fact of the matter is, through this process, leasing has been very low on their prioritization list. So we’ve had – we’ve had a lot of trouble getting people to look at vacant space. But we haven’t had any trouble getting people to look at vacant space. But we haven’t had any trouble getting people to release space they’re currently in because basically, they’re not out looking for new space at this point in time. So if the lease is coming up, they’ve got to do something with. So we’ve seen most of those rolling, but we haven’t been able to do much on the space is already vacant.
Bryan Maher: Okay. Great, that’s all from me. Thank you.
Operator: Our next question comes from Barry Oxford of D.A. Davidson. Barry, please proceed.
Barry Oxford: Great, thanks guys. Quick question. When it comes to the Highland bankruptcy and the financing that you guys are providing, can you talk a little bit about the terms?
Timothy Wallace: It’s very short term. I think it expires July 31. We get a 10% return on it. 10% return. We don’t expect it to stay out very long because the sale process has been on a pre pack of basis. And we – and it’s cash flowing very well right now. We’re actually – part of the debt financing is we swipe their receipts account, and we’re actually in a net positive position on a fairly decent net positive position on that account right now. So we don’t anticipate there ever being much out on it, and we don’t anticipate it really affecting the financials that much.
Barry Oxford: If this were to drag, would that obviously be extended a little bit?
Timothy Wallace: I mean I’m not going to say that it wouldn’t be. But again, we don’t anticipate – it’s fairly well setup that the sale order has been – the order for approving the sale process, et cetera, and the procedures has already been approved. There’s not an unsecured creditors committing. Nobody wanted to form an unsecured creditors committee. So I mean it’s currently set for the auction date for June 15 and the closing date for June 28, I think it is. So things could extend out, but we’re not anticipating. Again, even if it does, we’re not anticipating much of that being much being out on that line.
Barry Oxford: It wouldn’t be material. Okay, thanks for the update guys.
Operator: Our next question comes from Rob Stevenson, Janney. Rob, please proceed.
Rob Stevenson: Good morning, guys. Tim, you talked about being able to use the ATM program for acquisitions. Stock price was over 50 in early March and your first quarter ATM activity is at 45%. How aggressive are you going to be at issuing equity in the high 30s, even the low 40s? I know you haven’t been a big fan of preferred stock, but does that start to look more attractive to you? Your alternative is either reducing your acquisition pace or issuing common at current levels to fund deals?
Timothy Wallace: Well, I mean, we can make money at the current pricing of the stock. I mean, it’s – $40 a share, I’m trying to think off the top of my head, the implied cap rate of the company is probably less than 5%. So I mean – and we’re investing at 9% . So I think we can do accretive transactions very well if the stock is close to where it is or hopefully a little bit higher. So I mean – and I never viewed – and you probably heard me talk about this before, but the way I view the ATM program, it’s kind of like dollar cost averaging kind of in reverse, where I never try to think that I’m going to try to hit the high of the market and everything I’m trying to get the low of the market. But as long as it’s in kind of the sweet spot that can be very accretive with the acquisitions that we’re doing, we’re not going to shy away from it, and we’ll use it to manage the balance sheet and keep the leverage in line with what we want to be.
Rob Stevenson: Okay. And then when you talk to your tenants, how significant are the additional expenses that they’re going to have to incur going forward to operate B? I mean, know doctors office are being cleaned, but now you probably have a new higher standard for disinfecting at the end of the night. You’re going to either need more waiting room space for space appointments out more, so the people can social distance to a greater extent, so people aren’t on top of one another in a waiting room. And then you’ve got the – either both the ability to acquire medical supplies like PPE swabs, et cetera, and then the incremental cost of this, the cost for a mask now and gloves, et cetera. I mean how is that likely to impact their operations at the end of the day?
Timothy Wallace: I haven’t had anybody. And I haven’t heard that we’ve had any discussions with people who thought it was going to be an overwhelming issue. I mean there’s different ways to do some of this stuff. I mean, I – I’ve got a dentist appointment and a haircut appointment. And basically, that social distancing that you do is get in your car and they text you when they’re ready for you, and then you walk in. You don’t do it in the waiting room. So I think that’s probably going to be some of the stuff that you’re going to deal with in the future instead of having people waiting and waiting room, they wait in a car, they get a tax, then they come in.So in accident, the hairstylist, she can only have one customer in the building. It’s a suite type of things. She can only have one customer in the building. So she’ll text me when she gets ready to walk her previous customer out, come open the door and then I can go in. So again, it’s very things like that, it’s going to do it. So I don’t think there’s going to be additional cost from that standpoint. To the extent that are mask required and are gloves required now. And some additional disinfecting, I mean most doctors' offices were getting a good cleaning every day anyway. To the extent that you have to do it twice a day, that might happen.And you might use a few more gloves and a few more masks than what you were previously using. But those, generally speaking, aren’t a large percentage of their costs. So it may be on the margin, 1%, 2% would be my guess. But again, we don’t have senior housing. We don’t have nursing homes. We don’t have acute care hospitals even. So that’s kind of what we say from our standpoint.
Rob Stevenson: Okay. All right, thanks guys.
Operator: [Operator Instructions] Our next question comes from Sheila McGrath of Evercore. Sheila, please proceed.
Sheila McGrath: Yes. Good morning, Tim. I just – it’s good news that you don’t have any properties in New York and New Jersey. Could you just give us some insights on what percent of your portfolio is currently open and if that improved from earlier in the month?
Timothy Wallace: I’m trying to think the only ones that I think that we had totally closed were probably two or three surgery centers. I’m looking at Dave and Page now. We – I mean, we had – in some of our medical office buildings, it’s closed. I guess we had Act Cares facilities that were single-tenant that were closed. But I mean, overall, it’s a very small percentage that we’re totally closed.
Sheila McGrath: Okay. Okay. And then, Tim, you mentioned some tenants being eligible to receive PPP. Were there any other government programs that assisted your tenants through this – and that might be the driver of the very low rent deferral request?
Timothy Wallace: Well, yes, I mean, they access several of the Cares Act programs. I mean, probably the biggest one was the Medicare payment that was made. Basically, if you got Medicare receipts, last year, you got like 6.6% of those just dropped into your bank account. And for our tenants, that was relatively significant. I mean if you’re running an acute care hospital and you had to empty the acute care hospital for COVID, that doesn’t mean much. But for our tenants, if you had just 6.6% of what you got paid by Medicare, drop in your bank account, you don’t have to pay it back. That’s fairly significant. So yes, there was two or three pieces of it that were significant.
Sheila McGrath: Okay, great. And then one last one. On the new disclosures on G&A, what percent is cash versus stock compensation? Is that ratio, if you look at the one that you disclosed this quarter, is that like a typical quarterly relationship that we should expect to continue?
Dave Dupuy: Yes. I mean if you look on Page 7 of the supplemental, what we’ve done is we’ve shown that relationship over the past, call it, eight quarters. And so, yes, if you look quarter-to-quarter, it’s really fluctuated pretty similar to that. Sometimes, it’s a little bit more non-cash than cash. Sometimes it’s a little bit more cash. The non-cash, but it’s been roughly in that 48% to 52% range quarter-to-quarter. We don’t expect that to change significantly. And also, if you look at G&A as a percentage of revenue, that has ranged 2% and the 12% to 13% range as well. So it’s been pretty consistent. And so – but we did want to break that out because we had set some questions about that, Sheila.
Sheila McGrath: Yes, now that’s super helpful. Thanks a lot.
Operator: We have no further questions at this time. This concludes our question-and-answer session. I would now like to turn the conference back over for any closing remarks.
Timothy Wallace: Thanks, Ian. We appreciate everybody taking the time to dial in today, and we look forward to talking to you in three months. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.